Operator: Greetings, and welcome to Postal Realty Trust Second Quarter 2023 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Jordan Cooperstein. Thank you. You may begin.
Jordan Cooperstein: Thank you. Good morning, everyone, and welcome to the Postal Realty Trust second quarter 2023 earnings conference call. On the call today, we have Andrew Spodek, Chief Executive Officer; Jeremy Garber, President; Robert Klein, Chief Financial Officer; and Matt Brandwein, Chief Accounting Officer. Please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements that are not historical facts and are considered forward-looking. These forward-looking statements are covered by the safe harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those described in the forward-looking statements and will be affected by a variety of risks and factors that are beyond the company's control, including, without limitation, those contained in the company's latest 10-K and its other Securities and Exchange Commission filings. The company does not assume and specifically disclaims any obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, on this conference call, the company may refer to certain non-GAAP financial measures, such as funds from operations, adjusted funds from operations, adjusted EBITDA and net debt. You can find a tabular reconciliation of these non-GAAP financial measures to the most currently comparable GAAP measures in the company's earnings release and supplemental materials. With that, I will now turn the call over to Andrew Spodek, Chief Executive Officer of Postal Realty Trust.
Andrew Spodek: Good morning, and thank you for joining us today. We are pleased with our results in the second quarter as they demonstrate the ongoing success of our business model and showcase our management team's ability to execute in all environments. We enhanced our total liquidity position by exercising the accordion feature on our term loans and issuing equity through our ATM program during Q2 and subsequent to quarter end. As a result, we have strategically set ourselves up to execute on our pipeline for the remainder of the year without having to access the capital markets, and while maintaining conservative leverage. As of August 2nd, we had a fully undrawn revolver and 100% fixed rate debt. We acquired approximately $16 million of properties at a weighted average cap rate of 7.3%, which is accretive to the company and is also above the midpoint of our previously stated cap rate range. As always, cap rates in any given quarter are based on the specific mix of assets, geography and market conditions. Entering the second half of the year, we remain optimistic that deal activity will begin to pick up relative to first half levels. We are maintaining a judicious investment strategy and continue to target $80 million in acquisitions during 2023. Within our market, there is still a disconnect between buyers and sellers and prospective sellers continues to take time to adjust their price expectations. As I've shared in the past, the Postal real estate universe is unique and has lagged the broader commercial real estate markets throughout all economic cycles. Transaction levels in our space have historically been largely aren't correlated to financing conditions as assets are typically held long-term and owners are not pressured by debt maturities. While the current level of activity has been lighter with our leadership position and long history of transacting in the space, we remain confident in our ability to source deals and to continue maximizing long-term shareholder value. I'll now turn the call over to Jeremy to discuss our operating metrics.
Jeremy Garber: Thank you, Andrew. In the second quarter of 2023, we produced a 22% increase in rental income compared to the same period the prior year, driven by both our acquisition activity and organic growth in our portfolio. We have maintained a 99% historical weighted average lease retention rate over the past 10-plus years, which reflects the importance of these properties to the Postal Service and the communities they serve. Our acquisitions for the second quarter added 93,000 net leasable interior square feet to our portfolio, inclusive of 30,000 square feet from 24 last mile properties and 63,000 square feet from 15 flex properties. Subsequent to quarter end and through August 2, the company acquired 11 properties for $5.3 million and placed an additional 18 properties totaling $4.7 million under definitive contracts. As we shared last quarter, we have agreed to a non-binding LOI for new five year renewals with the Postal Service for leases that expired in 2022, which incorporated fixed annual rent escalations of 3.5% that should continue to support our strong internal growth. We have started the execution process with the Postal Service, having reviewed and returned all 2022 leases to the USPS. We are pleased with the progress thus far and look forward to having the leases completed in the near future. The 2023 lease discussions are underway, and we are working closely with the Postal Service to make this process more efficient going forward. I'll now turn the call over to Rob to discuss our second quarter 2023 financial results.
Robert Klein: Thank you, Jeremy, and thank you, everyone, for joining us on today's call. We're pleased to announce that we delivered another strong quarter of earnings during the second quarter. With funds from operations or FFO of $0.24 per diluted share and adjusted funds from operations or AFFO of $0.27, we have achieved growth of 4% and 13%, respectively from Q2 2022. We exercised the remaining $35 million accordion feature on our term loans. $25 million was drawn at closing and used to repay the outstanding balance on our revolver. The remaining $10 million have a delayed draw feature, and we plan to draw those proceeds to fund our acquisition pipeline. Concurrent with the $25 million term loan draw, we entered into an interest rate swap, resulting in a current all-in fixed rate of 5.736% through January 2027. The $10 million delayed draw will have a maturity date in February 2028. Inclusive of the $25 million of term loan, the entirety of our debt outstanding is now locked in at weighted average fixed rate of 3.95%, and our $150 million revolver is completely undrawn. We have no notable debt maturities until 2027 and the weighted average maturity of our debt outstanding is 4.7 years. Additionally, during the second quarter and through August 2, 2023, the company issued approximately 1.6 million shares of common stock through its at-the-market offering program at a weighted average gross price of $15.03 per share, totaling gross proceeds of close to $24 million, of which roughly $12 million were raised from forward sales agreements and remain to be settled as of August 2. We are pleased with the execution of these transactions, which combined with our delayed draw term loan will provide capital to fund our pipeline of acquisitions. With the recent activity in our ATM program, our Board of Directors approved the replenishment of the program to $150 million. Our net debt to annualized adjusted EBITDA ratio was 5.6x at the end of Q2, and it remains well within our target of below 7x. Recurring CapEx for the second quarter was $0.02 per square foot, and our guidance remains above $0.02 per square foot on a quarterly basis going forward. Turning to cash G&A expense. We are updating our guidance by narrowing and lowering the range to $9.3 million to $9.6 million, given cost savings and efficiencies achieved this year. We continue to anticipate cash G&A as a percentage of revenue to decline on an annual basis. A majority of our employees receive equity as part of their compensation and non-cash G&A in 2023 should continue to be a higher percentage of total G&A expense when compared to the same quarters in 2022. Our Board of Directors approved a quarterly dividend of $0.2375 per share, representing a 2.2% increase from Q2 2022 dividend payment. We continue to be prudent with our balance sheet and look to generate additional cash flow from operations to drive future growth. As stated on the previous call, the Board will review increases to the dividend on an annual basis. On July 5, we issued an 8-K filing, detailing our auditor change and announced that we will be working with Deloitte going forward. This resulted in approximately $200,000 of transition costs within cash G&A, which is being added back for AFFO during Q2 2023. Our business is unique, and we're able to navigate all economic cycles due to our stable tenant and the necessity for this one-of-a-kind logistics network. Through operational resiliency, our strong balance sheet and this market-tested management team, we are confident we will continue to deliver value for shareholders. This concludes our prepared remarks. Operator, we'd like to open the call for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: Thank you. Andrew, you mentioned in your prepared remarks, deal activity picking up in the second half of the year. But at the same time, there is discontinued bid-ask spread between buyers and sellers. So those two comments seem to conflict with each other. Could some of that activity spill over to next year?
Andrew Spodek: Yes, it could. But in general, we've seen historically that the second half of the year typically picks up. And I think that in the current environment, we've been seeing the conversations from sellers evolve. And so I'm hoping to see some of those convert to deals and get closed before the end of the year.
John Kim: Okay. So that's based on your current pipeline and just expected timing of current negotiations?
Andrew Spodek: Yes.
John Kim: Any thoughts on recent press on the Postal Service and their proposed 10-year plan and the potential impact it could have on rural post office going forward, if this is something that could impact your existing portfolio or maybe provide some opportunities on the acquisition side?
Andrew Spodek: Sure. So the current Postmaster General has laid out a plan to transform the Postal Service in the way that we see them today to get them to evolve into the package delivery business that they're currently functioning in. The majority of the changes that he's proposing are on the processing and distribution level. Most of them are related to buildings that they own and pretty much every statement that we've seen and we've heard specifically say that they're not looking to consolidate or close the retail network. I typically don't opine on the Postal Service and their operations. But from a real estate standpoint, we still believe that our buildings are the backbone of their entire delivery business and are very much needed to address and deliver to the 165 million delivery points that they're touching on a regular basis.
John Kim: That's great color. Thank you.
Andrew Spodek: Thank you.
Operator: Our next question is from Anthony Paolone with JPMorgan. Please proceed with your questions.
Anthony Paolone: Thanks, good morning. First one, I guess, for Rob. The $0.27 in AFFO for the quarter, do you think that's a good run rate as we look ahead? Or do you think there are some puts and takes to call out there?
Robert Klein: Good question, and I don't blame you for asking. We don't give guidance right now going forward. So I don't have a concrete answer for you, but we do expect that the rest of the year should remain strong. We're in a good position financially. We've had some good capital raise. Our balance sheet is in good shape. The operations are in good shape, leasing, et cetera. So we feel pretty confident for how the remainder of the year is going to turn out.
Anthony Paolone: Okay. And then with regards to cap rates, I think you said 7.3% for the second quarter, I think, 7.6% maybe for the first, and those are a bit north of where you were doing deals, I guess, over the last couple of years. And Andrew, you mentioned there's still a disconnect between buyer-seller expectations. So do you think there's still room for that number to go even higher before the market is fully adjusted? Or do you think this is kind of where we should think of cap rates right now?
Andrew Spodek: It's a difficult question to answer just because of the volume of deals that we do, the statement that I made is really more of a macro statement about the Postal real estate universe, right? We haven't seen a macro change in sellers' expectations from a pricing standpoint, depending on the mix of deals that we do, the cap rates are going to adjust. We've been targeting to be above the midpoint of our cap rate range, which is what we've been able to execute on, and we continue -- we plan on continuing to be able to do that. We definitely believe in the bigger picture that CapEx should continue to expand. And we're just waiting and planning to be able to take advantage of that when that opportunity does arise.
Anthony Paolone: Okay. And then if I could sneak one more in. Just on the '23 expirations, can you remind us how much of the -- I guess, the 162 leases were the ones from 2022 that you plan to wrap up soon versus just regular '23 expirations?
Jeremy Garber: Sure. There are 86 leases of the 2022 vintage.
Anthony Paolone: Okay, thank you.
Jeremy Garber: Thank you.
Operator: [Operator Instructions] Our next question is from Jonathan Petersen with Jefferies. Please proceed with your question.
Jonathan Petersen: Great, thanks. Good morning guys. I just wanted to talk a little more about your expenses. I think your OpEx was a little lower than the past couple of quarters. G&A was also a little lower. I think you talked about the measures you take to reduce costs. Can you talk a little more about that and kind of what the cadence should be in those line items for the next few quarters?
Robert Klein: Thanks for the question. The OpEx will vary over time. And in particular, we do have one larger asset, our Warrendale asset that is recovered. And so you'll see some of the fluctuations based on some of the expenses that vary quarter-to-quarter. And that's the majority of the variability that you saw between Q1 and Q2. Regarding other expenses, I mean, in general, our margins have been pretty consistent for the past couple of years, and we don't see a reason why that should change in the near-term.
Jonathan Petersen: Okay. Got it. And then I was just curious, I don't know if this is a totally fair question, but you guys recently redid your term loan and swapped out. I guess if you think about where we're at in the interest rate cycle, talking about your decision-making to do swaps right now versus just kind of riding floating rate debt and maybe interest rates go down.
Robert Klein: Yes. So look, that has been what we've done for quite some time now. In general, we've been using our revolver as an acquisition line. And then as we believe that, that debt is going to become more permanent or live on our balance sheet longer term. We believe it's prudent to move it over to our term loan, which has some interest rate savings on the spread. And then we do swap it out to fix that cost of debt. And the reason we're doing so is because it is accretive, it is lower than our cap rate and the things that we're doing. And so we believe it makes sense to remove that exposure to variable rate debt. So that is the plan. We continue to expect to minimize our exposure over the medium and long-term to variable rate debt. I just remember, I didn't address your G&A question, and we did give updated guidance on the cash G&A for the year, which we reduced the range, both in the size of the range and in the lower end of the range. So we've moved that to $9.3 million to $9.6 million for cash G&A for the year. And to answer your question, some of that's based on some operating efficiencies that we've been able to find over the course of the year and some reduction in some expenses.
Jonathan Petersen: Got it. Okay. And then maybe just one last one, sticking with balance sheet questions. On the ATM, you guys issued was $11 million this quarter. So roughly two-thirds of your acquisition volume you issued on the ATM. Is that kind of an ideal quarter, I guess, from a capital raise -- from an equity perspective, like funding about two-thirds of acquisition costs with equity?
Robert Klein: So look, this will vary. We purposely added as many tools -- to our tools that as we've been able to so far, both in the debt and the equity side, and we're opportunistic in terms of which source of capital we are using. And so we are mindful, though to keep our leverage low and to keep it below our targets, which we have continued to do. So yes, over time, I think over a longer period of time, more of our acquisition will be funded with equity then with debt. But on any given quarter, that could vary just depending on market environment, what the most opportunity capital is and cost of capital.
Jonathan Petersen: Okay. That's great. All very helpful. Thank you very much.
Robert Klein: Yes. And one last thing, too. I mean you asked that the ATM was ideal. And I don't believe there's any ideal source over the long-term. But the thing that is really good about the ATM and in fact, the delayed draw that we did on the term loan is that we can match fund our acquisitions. And I think for a lot of companies, it's a good source of capital. But for us, in particular, with the amount of deal volume we do and the frequency of acquisitions, it really works well for us.
Jonathan Petersen: Got you. Okay, thank you.
Operator: Our next question is from Rob Stevenson with Janney Montgomery Scott. Please proceed with your question.
Robert Stevenson: Good morning guys. So as the post office rolls out more electrical vehicles, how easy to get the extra power into your buildings to charge these? And is any CapEx related to putting EV charging in something that you guys will fund and wrap into these costs into future leases? Or is the Postal Service going to have to fund all that stuff themselves?
Andrew Spodek: Hey Rob. So in general, the expense of something like that would typically be borne by the Postal Service. It is our -- it would be our pleasure to assist the Postal Service with installing those charging stations and upgrading the electrical infrastructure at properties and building it back as additional rent. My understanding is that they are going to start their first rollout of these charging stations and electrical vehicles at larger processing centers, most of which are predominantly owned by the Postal Service.
Robert Stevenson: Okay. And I mean, to the extent that some of the facilities may also need fire suppression and some other stuff. Is that also sort of the same type of deal stuff that either they would have to fund or you would look to do and wrap into the future leases?
Andrew Spodek: Yes. In general, these types of expenses or improvements would typically be the responsibility of the Postal Service. But we have in the past, and we're definitely willing to work with the Postal Service to try to assist them in getting them done and adding it back to the lease payments.
Robert Stevenson: Okay. And then one for Rob. Rob, what's dictating the use going forward between the forwards and the traditional ATMs. I mean the pricing looked basically within $0.01 or so of each other in the quarter. And so how are you determining whether to do forwards, whether to do just in place ATM issuance to fund the business going forward?
Robert Klein: Yes. This is just about timing of capital needs, right? So the forward is a really good source of capital, if you believe that you need a little bit of time to deploy that capital, whereas a regular way, ATM would be more for an immediate use. And so we did a blend of both because we had some immediate use, and we also wanted to put ourselves in a position that we could stay out of the capital markets if we chose to do so, but also be opportunistic about. And I think we really did that this past quarter and then subsequent to quarter end with forward on the ATM and with the delayed draw on our term loan.
Robert Stevenson: Okay, thanks guys. Appreciate the time today.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Andrew Spodek for closing comments.
Andrew Spodek: Thank you very much. On behalf of the entire team, I would like to thank you for your continued support and taking the time to join us today. We look forward to connecting with you over the coming months. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.